Operator: Hello, and welcome to the Bladex Conference Call. We now have our speakers in conference. As a reminder, today's call is being recorded. [Operator Instructions] I would now like to turn today's conference over to Pete Majeski. Mr. Majeski, please begin.
Peter Majeski: Thank you, Jeff, and good morning, everyone. Welcome to Bladex's Fourth Quarter and Full Year 2012 Conference Call on this the 8th of February, 2013. This call is for investors and analysts only. If you are a member of the media, you're invited to listen only. Joining us today are Mr. Rubens Amaral, Chief Executive Officer of Bladex; as well as Mr. Christopher Schech, Chief Financial Officer of the Bank. Their comments will be based on the earnings release issued yesterday morning. Copy of the long version is available on www.bladex.com. Any comments today from management may include forward-looking statements. These are defined by the Private Securities Litigation Reform Act of 1995. They are based on information and data that is currently available. However, actual performance may differ due to various factors, and these are cited in the company's Safe Harbor statement within the press release. And with that, I am very pleased to turn the call over to Mr. Rubens Amaral for his opening remarks. Rubens, please go ahead.
Rubens V. Amaral: Thanks, Pete. Good morning to everyone, and thanks for taking the time for being in [ph] our call today. I will make a few quick comments and then turn to Christopher for a more detailed presentation. We are pleased to have finished the fourth quarter of 2012 on a positive trend, as we had anticipated in our previous call from the New York Stock Exchange in our last conference. We are particularly pleased to have been able to deliver another important commitment with you of reaching a final resolution to our Asset Management business. But before we elaborate about it, let me provide you with an overview of what happened in our region in 2012. More subdued growth in the world economy reduced an impact on the average GDP growth in Latin America. From a 4.5% growth in 2011, the region growth dropped 3.1%, heavily influenced by the lower-than-expected growth in Brazil, which was around 1% in 2012. The smaller global growth also produced a reduction in the world trade from 5% to 2.5% in 2012. Latin America, of course, was not immune to it and experienced a small growth in exports of 1.6 and imports of 3.9. Nevertheless, the internal markets remained strong with the support of a more extensive fiscal policy throughout the countries in the region. Against this backdrop, Bladex managed to expand its core business by posting a growth of 11% in its Commercial portfolio, a 15% growth in its loan portfolio, which propelled the growth in our profits of 12% when compared to 2011. On the other hand, the Bank continues to diversify its products offering to our clients by expanding our vendor financial capabilities and not less important, by setting the base for more successful distribution platform. We are pleased that our team has been able to generate an important pipeline of potential syndications, which led us to close 3 important deals in 2012. In terms of total disbursements, the Bank also reached an important mark of $11.3 billion compared to last year of $10 billion. The credit quality of our portfolio has improved importantly. And now our credit exposure to countries with investment grade represents 80% of our total portfolio, up from 75% in 2011. The funding structure, as discussed in previous quarters, is more diversified and allows the Bank to be better prepared for more challenging times should they come. Overall, a stronger balance sheet, solid results, strong capitalization, which provides, in our view, the means for another successful year in 2013 and as a consequence, will allow the Bank to continue to reward its shareholders with increasing dividends, as it was the case in 2012. Christopher naturally will provide you with more color and detail about our financial performance. So let me turn now to the asset management. We have reached then a solution, in our view, that will enable not only the Bank to sell the existing asset management company but also will give us the means to benefit from the existing track record through what we believe to be an attractive fee-sharing arrangement. As we finalize the documentation and execute the agreements, we will share forward the details with you. Of course, as always, we'll be open to your questions at the end of the presentation. Lastly, we remain optimistic about the prospects for the world economy, as well the economies within Latin America. The uncertainty experienced at the beginning of 2012 has given way to a more positive outlook as the possibility of a tail risk event stemming from troubles in the Eurozone have diminished, China is again poised to grow and U.S. has made important advances in resolving the debt and fiscal issues. This positive outlook will definitely contribute to another year of growth in Latin America, and we at Bladex are confident we will again benefit from it. I'd like to thank you for your continued support and look forward to continue to deliver sustainable results to our shareholders. Now let me turn to Christopher to provide you with more color and detail about our financial performance. Christopher, please.
Christopher Schech: Thank you, Rubens. Hello, and good morning, everyone. Thank you for joining us on the call today. In discussing our fourth quarter and full year results, I will focus on the main aspects that have impacted our results and I will put them in context with the previous quarter and the same quarter of a year ago. And we'll do the same thing for the full year as well, of course. The fourth quarter 2012 closed with net income of $24.6 million compared to $13.2 million in the third quarter of the same year and $24.8 million the fourth quarter of 2011. The full year 2012 result was net income of $93 million compared to $83.2 million in 2011, which is an increase of 12%, as Rubens already mentioned. The results of the fourth quarter 2012 showed accelerated momentum in our core Commercial business. Margins benefited from a gradual increase in average tenors, even as we remain focused on safe high-quality business, avoiding and shedding higher risk exposures. This resulted in an improved risk profile with 0 exposures to nonperforming loans and lower generic reserve requirements, even as portfolio balances grew strongly this quarter. The Treasury division's performance suffered from lower revenues from its reduced bond portfolio and limited capital market transactions, while at the same time absorbing the increased amortization of prior-period adjustments to freestanding financial instruments. Pending imminent -- the imminent exit from asset management operations, we no longer report the asset management results as a separate business segment, but as a discontinued operation. So let's look into this quarter's result in a bit more detail. We begin our segment performance review with the Commercial division, where net income was $31.4 million in the fourth quarter compared to $23.7 million in the third quarter of 2012 and compared to $17.7 million in the fourth quarter of 2011. Full year results showed the increased strength of our core, with net income of $96.3 million in the Commercial division, an increase of 80% over 2011 levels. The quarter-on-quarter variance was impacted primarily by the reversal of loan loss provisions as portfolio growth focused on high credit quality business. This shift was underscored by the decision to exit our exposure in the loan that had been in nonaccrual status since the aftermath of the Lehman crisis and was part of protracted restructuring negotiations involving scores of other creditors. Our performance of the loan had been entirely in line with the restructuring agreement that Bladex was part of. We, nevertheless, decided to divest the loan in the secondary market at a modest discount and move on. This led to the release of $7.9 million in remaining specific reserves this quarter. The sale concludes an engagement that proved overall profitable, all things considered. As a result of the decision, nonperforming loan balances are 0 at the end of the fourth quarter 2012 compared to 0.5% of total net loans in the previous quarter and compared to 0.6% in the fourth quarter of a year ago. Generic reserve movements this quarter led to a net release of $2 million and were a reflection of the shift in our portfolio mix towards lower risk profiles. At operating income of the Commercial division, which means net income before provisions for credit losses, increased 3% quarter-on-quarter to $21.2 million. Net interest income grew as a result of higher average loan balances during a quarter in which loan demand continued to accelerate from third quarter levels. Average portfolio loan rates declined quarter-on-quarter, as pressure on margins on new disbursements continue due to ample liquidity in the majority of the markets that we operate in. Allocated funding cost improved, however, for the same reason, resulting in slightly expanding net margin and net spreads in our Commercial activities. Expenses allocated to the division increased 19% compared to the previous quarter, mainly due to increased provisions for variable performance-related compensation and higher allocated overhead expenses. Full year 2012 net operating revenues in the division grew 32% year-on-year, reflecting portfolio and margin growth, while allocated operating expenses increased only 10% over the same period, even as Commercial portfolio balances grew 11% year-on-year to $6 billion. This shift in the portfolio mix towards exposures with lower risks and the elimination of non-accruing loans from the portfolio led to a swing in the provision for loan and off-balance-sheet credit losses line from provision of $4.4 million in 2011 to a reversal of provisions of $12.4 million in 2012. Average Commercial portfolio balances, including acceptances and contingencies, increased 7% in the fourth quarter, reaching $5.7 billion, while the year-on-year increase in average balances was 8%. Quarterly disbursements amounted to a $3.2 billion in the fourth quarter 2012, up 32% from the third quarter and up 54% from the levels of the fourth quarter of 2011. On a full year basis, and I think Rubens has already mentioned that, total disbursements amounted to $11.3 billion, marking a new high not seen since the late '90s and representing an increase of 8% year-on-year. And our loan demand from large corporations remained solid, while demand from financial institutions strengthened towards the end of the quarter as is usual for the season. The share of middle market companies in our Commercial portfolio continues to grow at a steady pace, as the middle market segment now accounts for 12% of the total Commercial portfolio. The Commercial portfolio continues to be short term and trade related in nature. 77% of the portfolio will mature within 1 year, and 61% of the portfolio is trade financed, while the remainder represents the increased lending to banks and our exposures to corporations involved in foreign trade. Our diversified mix of country exposures shows the enhanced risk profile of our portfolio, with growing exposures in larger and well-performing markets. As nearly 80% of our total exposure is in investment grade rated countries. Now let me move on to the Treasury division, which now also incorporates Bladex's remaining investment in the investment funds and the related trading results after our decision to divest the Asset Management operations. As a consequence, and Rubens mentioned it as well, we eliminated the former Asset Management Unit as a reported business segment. The numbers shown for the comparative period quarters and years were adjusted accordingly. Trading results from the investment funds were positive this quarter, with a gain of $3.1 million compared to a loss of $2.6 million in the previous quarter. On a full year basis, gains from the investment in the investment funds amounted to $7 million versus a gain of $20.3 million in the year 2011. The Bank continued the process of gradually redeeming retained earnings in the fund, with redemptions amounting to $10 million this quarter and amounting to $15 million for the full year 2012. The division had a challenging quarter, posting a net loss of $6.4 million this quarter compared to a net loss of $10.6 million in the third quarter of 2012 and compared to a gain of $7.4 million in the fourth quarter of 2011. The securities portfolios continue to consist of high-quality and liquid Latin American securities. Nearly 90% of the securities portfolios represents sovereign or state-owned risk. As valuations of funds issued in the region remain high, capital market transactions were limited and we added only minor amounts to our positions in the securities portfolio this quarter. With average portfolio levels increasing only slightly, therefore, interest income was marginally higher this quarter compared to the prior quarter. On the interest expense side, the division had to absorb the amortization of valuation adjustments to freestanding financial instruments, which are reported as incremental interest expense. This incremental interest expense amounted to a $3.4 million this quarter compared to $1.6 million in the third quarter of 2012, which is the quarter when the amortizations began. For the year 2012, these amortization totaled, therefore, $5.0 million in incremental interest expense in the long-term debt bucket. The majority of the remaining amortizations of $2.6 million will be recorded in the first quarter of this year, 2013, when the first tranche of the freestanding instrument matures. Minor amortizations will continue until the third quarter of 2013, when the last tranche of these instruments will mature. Adjusted for these amortizations, average funding rates and interest expense would have been lower compared to the prior quarter, and consolidated net interest margin from commercial activities showed therefore an increase of 2 basis points over the previous quarter. On a full year basis, the consolidated net interest margin from Commercial activities remained fairly stable at 178 basis points versus 181 basis points in 2011, which means we have almost fully absorbed the increase in average funding costs from extending funding tenors early in the year 2012. As Rubens already mentioned, we have reached agreement on the terms of sale of our Asset Management Unit. From a reporting perspective, our decision to divest the operation led to the elimination of the Bladex Asset Management business segment. The elements that form part of the transaction and that will be on the new ownership have been segregated into position labeled discontinued operations. It encompasses all elements of the Asset Management Unit related to the Asset Management activities, including staff, Asset Management-related revenues and associated operating expenses. As mentioned earlier, Bladex is investing in the investment funds that -- continue with the Bank are now shown as part of the Treasury division. Moving on from our segment review. Let me give you a brief summary of other financial highlights of the Bank's performance in the fourth quarter and full year 2012. Operating expenses in the fourth quarter were higher compared to the previous quarter, mainly as a result of higher variable compensation accruals, both tied to the performance in the investment funds and in Bladex itself. The other expense categories were largely in line with the previous quarter. Year-on-year, quarterly expenses were up 11%, mainly from high employee-related expenses, reflecting a higher average workforce, along with some nonrecurring items, such as the move to our new headquarters that we do not expect to reoccur going forward. The Bank's efficiency ratio, therefore, suffered this quarter from slower revenues growth mainly coming from the Treasury division, as operating expenses increased at a faster pace for the reasons mentioned before. Full year 2012 efficiency ratio reached 42%, up from 36% in 2011. However, we expect to bring the efficiency ratio back in line with our medium-term targets over the next quarters as cost containment and reduction measures take hold and revenue expansion continues. The Bank's overall return on average equity reached 11.9% in the fourth quarter, bringing full year ROE to 11.6% compared to 11.4% a year ago. ROE quality, however, has improved even more significantly, as 2012 core ROE, which relates to results excluding extraordinary nonrecurring items and also excludes discontinued operations, is 10.7% for the year 2012 compared to 9% the year before. Bank's book value stands at $21.67 a share, up $0.33 from the previous quarter and up $1.22 a share from the fourth quarter of 2011. Leverage at the end of the fourth quarter 2012 stood at 8.2x, up from 7.8x in the third quarter and down from 8.4x in the fourth quarter of 2011. Tier 1 capital stands at 17.9%, same as the previous quarter and compared to 18.6% a year ago. Bank's Board of Directors has declared a quarterly dividend corresponding to the fourth quarter of 2012 of $0.30 a share. This brings total dividend corresponding to fiscal year 2012 to $1.10 a share, that is up 29% from the dividend payments of the year 2011 and represents a payout of approximately 45% of 2012 total net income. And with that, I'd like to hand it back to Rubens for the Q&A session. Thank you very much.
Rubens V. Amaral: Thank you, Christopher. And gentlemen, we are ready for your questions.
Operator: [Operator Instructions] Our first question comes from Tito Labarta from Deutsche Bank.
Tito Labarta - Deutsche Bank AG, Research Division: Rubens and Christopher, I guess my question is really in terms of looking at your guidance for 2013, if you could maybe give some color on what you're expecting kind of in your main line items, like loan growth, margins and fees and expenses. And kind of following up on that, your target has been to get to like a mid-teen ROE so I just want to really kind of get the components on how you'll get there, particularly since you had a lot of provision reversals this year. So I'm not sure if that's sustainable, so I want to really get a sense of how you can get to that mid-teen ROE target.
Rubens V. Amaral: Okay. Tito, thank you very much. Thanks for attending the call and for your question. I think basically, one of the things that I haven't mentioned before in my introductory words was that we feel cautiously optimistic about the prospects for Latin America in 2013. We have seen that the worst that people expected is over. So in a sense, much less possibility of a terror risk event coming from Europe. China, which is an important market for Latin America, is again growing at expected levels. And we've seen what's going on in U.S. even today with the improvement showing in the fourth quarter in terms of the trade deficit. So all of these would have a positive effect in our region. And when that happens, we benefit quite a bit because we are prepared to do so. So we expect to be able to benefit from the growth in our corporate business. As you remember, last year, one of our important markets, Brazil, had important foreign-exchange regulations that have limited substantially the possibility of a growth in that market and impacted heavily in our loan growth portfolio in the medium term. This year, these regulations had been lifted or changed. And now we're back to what used to be our normal business in Brazil. So we're expecting the possibility of growing our portfolio in expected way in Brazil and growing our corporate portfolio in Peru and Mexico and Colombia, as we have consolidated our operations in all these different countries. So you see, in terms of growth portfolio, we have always used a proxy of growing 3x or 4x the growth of the region. The region grew around 3.1% this year, so we grew 11% in our portfolio. We're expecting the region to grow close to 4% this year. So it's something about 12% to 15% growth in our portfolio you could expect. Naturally, that will impact provisions. But as you have seen, we were looking at growing with quality. So we're going to be -- continue to grow in investment-grade countries. And as we see the region getting better, more countries and more companies will be investment grade, and which will lead consequently to a better quality in our portfolio. So although we expect movement in our provisions, growing provisions because of the growth of the portfolio, that growth will be qualitative growth that will help us deal with this impact in the provisions. On the other hand, I think you have seen and you alluded to in your other[ph] about our results, we have made important strides in our Distribution business. We have a strong pipeline. We have several discussions with different clients to this pipeline, and we expect this fee business to increase in an important way. It did increase last year. As we had promised, we would invest money, time and people in developing this. So we're seeing this also for this year in 2013. So we're very confident with this. And this will help us, of course, to increase our results and to help us to reduce this -- the efficiency ratio -- to improve the efficiency ratio by being very strict in terms of cost management. We have a very tight budget for this year, and we're looking forward to do more with the same structure we have. So we're not anticipating any expansion in our cost structure. As Christopher alluded to in his comments, we changed of -- to the new headquarters. And by the way, this is the first call we are holding from our new headquarters. And I hope you guys are getting a good sound from us here because we invested in a lot of technology in this new office. So we don't expect that to happen in this year. So that will definitely continue a bit to improve the efficiency. And as we have discussed in the past, the Bank has a commitment to keep -- to get to a mid-teen ROE. And this is not done overnight. I think for me, what's crystal clear is that we got to double-digit ROEs, and that is very remarkable for our organization. And we'll continue to pursue this in the next couple of years to get to this mid-teen solid ROE, as we diversify with more fee income, which is a weakness that we, you recognize that we have, and I think we are moving in an important way. Also, just to provide you with a little more detail, we are looking carefully, as we can, how we can better manage our portfolio. We're looking at establishing what we call an active credit portfolio management within the organization, with the purpose of building out an ideal portfolio, using I know that excess of capital that sometimes you don't like that we keep that excess of capital needed to it[ph]. And I think this active credit portfolio management also will help us to improve the revenues, improve the revenues. So it's a solid loan growth, a growing fee income, very conscient about the costs that will help us, I think, to keep the double-digit ROE, and in a couple of years, to achieve our goal of getting to the mid-teens. It's a long answer for your question, but I hope I have covered all the points you mentioned.
Tito Labarta - Deutsche Bank AG, Research Division: Yes, I think that's very helpful. Just maybe I want to follow in terms of maybe also give some guidance in terms of net interest margin. I know it has fallen recently, partially because of these amortizations. But how do you see that going forward, which impact the remaining amortizations you need to do and also your loan growth and your mix in loan growth? How do you see your margin evolving for this year?
Christopher Schech: Tito, if you don't mind, I'll take that question. Christopher here. Well, we definitely expect net interest margin to improve for the simple reason that we have no immediate plans to load up on additional medium- and long-term funding, which arguably had had a significant impact on our interest expense line last year. And we are more successful now deploying these base funds that we took on board early last year. And whatever portfolio growth will occur this year will primarily be funded with shorter tenors, which evidently are cheaper. So by sheer mix of funding and our lending portfolio, we do expect to do -- we will be able to do much better than last year. Of course, we will -- there's $2.5 million or $2.6 million that remains to be absorbed still in the first quarter or in the first half of the year. But that's not such a significant impact compared to what we had to absorb last year. So long story short, we expect to be inching ever so closely towards the 2% net interest margin hurdle, and we think we have a good shot at getting there, if not this year, then certainly early next year.
Rubens V. Amaral: And of course, if you'll allow me Christopher, so, just to jump in. We are looking carefully what's going on in the markets. And we know that there is tremendous liquidity out there and the start of liquidity puts an additional pressure on margins. And -- but as we see the economies getting better, we are more confident in working with -- in the medium-term transactions, which seems to be materializing very rapidly this fourth quarter and will definitely help us in setting -- getting to the target that Christopher mentioned.
Operator: Our next question comes from Gary Lenhoff from Great Lakes Advisors.
Gary Lenhoff - Great Lakes Advisors, LLC: You actually just answered the questions I had.
Operator: Our next question comes from Michael Holme from CQS.
Michael Holme: Just a couple of questions. The first one is you have guided to, I believe, is a Tier 1 capital ratio of 15%. So the question I have is based on the numbers you have year end, where the capital 1 ratio was at 17.9%. If the number would be at 15%, what would that mean in terms of, call it, excess capital?
Christopher Schech: If you don't mind, I'd take that question. Christopher here again. Of course, we also expect to do a better job in terms of efficient capital deployment this year. We have discussed the 15% sort of Tier 1 target for some time, and it's not really happened up to this point. We've been able to improve our win, nonetheless, which is good news we think. But we do think that we can improve that capital efficiency a bit more. We do intend to continue on our path towards the 15%. We don't expect to drop below that because we want to pursue ratings upgrades, not stay at the levels that we are. And so that 15% or more capital -- level would certainly be helpful in that discussion with the ratings agencies. But that doesn't mean that we're not going to try to improve this capital efficiency. So you should see us make progress over the course of the year in that regard.
Michael Holme: Sorry, but my question was very specific. As of December 31, if I were to apply a 15% capital Tier 1 ratio, what would be the equity number? Or what would be the capital to be released?
Rubens V. Amaral: Difference between -- you're asking the difference between the 15% and 17.9%?
Michael Holme: Correct. Because I don't know what the risk-weighted assets are. So that's what I'm trying to get at.
Rubens V. Amaral: Okay. We'll get back to you on that, Michael. But as Christopher said...
Michael Holme: That's fine. I understood his answer. The second question I have is regarding the -- you're trying to generate the income by building up a syndicated loan business. And I saw that you did a transaction involving Alicorp, and then you've done one for the cable company in Colombia. I'm just trying to get a sense of when did you start that business? Has it broken even yet? Is it contributing to profits or not? And when could that possibly change?
Rubens V. Amaral: Definitely that business is contributing to profits. Out of the $2.8 million of fees that we reported in this line, $2 million came from the syndication activity. And we have a small team of 3 people working on this, so definitely we are on the positive side. We're investing more in this team as we have, as I mentioned before, an important pipeline of syndicated transactions. So you could expect this to be an important contributor this year for the bottom line.
Michael Holme: Right. And when you're doing these loans, are you retaining, I don't know, 10%, 20% of the syndicated amount? Or was that...
Rubens V. Amaral: Normally, what we do, as you know, in any type of deals, we win the mandates by underwriting, a portion that can be between 30% to 50% to win the mandate. But our target is to hold between 15% and 20%.
Michael Holme: Okay. And the other question I had, just for clarification purposes, I'm just looking for the number here. Your return on average equity for 2012, I believe, was 11.6. Does that number include Bladex Asset Management or not?
Christopher Schech: 11.6 is total Bank plus all elements. So yes, it includes everything that has to do with the Asset Management division as well.
Michael Holme: Okay. And do you have a sense, given that during the year you probably had on average -- at one point it was about 150 and year end it was 100. Just trying to get a sense of what your return on equity -- on average equity would have been if effectively you didn't have that business, which wasn't contributing to your bottom line?
Christopher Schech: Yes. In my comments, I mentioned something called core ROE, which includes effectively this. And we calculate core ROE for 2012 to be 10.7%.
Michael Holme: And what's the reason why it's lower?
Christopher Schech: Well, because the return on our investment in that fund has been positive, and it has been over the last several years. I mean, if you look at ROEs associated with that asset management activity, it would be easily above 20%, 30% ROE on that investment.
Operator: Our next question comes from Jeremy Hellman from Divine Capital Markets.
Jeremy Hellman - Divine Capital Markets LLC, Research Division: I just wanted to go back to credit quality, if I could, just to make sure I understand you correctly. Obviously, with respect to your portfolio, credit qualities improved. And just to -- so I can be clear, is that a function of the loans that you guys are actually writing, moving to higher-quality credits? Or is it a function also of regional credit quality improving?
Rubens V. Amaral: It's both. First of all, as I alluded to in my initial comments, we have improved our exposure to countries with investment grade from 75% to 80% this year. So you see as the region gets better, definitely our portfolio improves. But also with clients, we are moving towards that direction, having more clients with investment grade in our portfolio as well.
Jeremy Hellman - Divine Capital Markets LLC, Research Division: Okay. And then just one follow-up. Just with regional economic performance for last year coming at a bit below where people had thought, going back in time. How much of that would you attribute to Europe as a root cause?
Rubens V. Amaral: I think that the European sector was not that important in our case because the region as a whole is not dependent on the trade flows with Europe. I think on overall terms, you see that the region is heavily impacted, but whatever happens in Brazil because of the size of Brazil within the region. If we take out Brazil off the region, you see the growth in the region would be very in line with last year, around the 4% mark. So I think the number is somewhat skewed towards the situation that impacted Brazil. Overall, I think Europe, as we see, was not a major factor in this slowdown.
Operator: Our next question comes from Chris Delgado from JPMorgan.
Christopher Delgado - JP Morgan Chase & Co, Research Division: I know you mentioned an improvement in overall asset quality. So could you just give us a sense -- more of a specifics of kind of behind how you see provisions to average loans evolving over this year, especially since you guys pretty much released provisions for the whole of 2012?
Christopher Schech: Chris, if you don't mind, I'd take that question. This is Christopher again. Of course, the -- if you look at reserve coverage ratios, meaning the reserve levels, as a percentage of total outstanding balances, we did indeed experience a big drop, but that was primarily due to the fact that we no longer have specific reserves, which is good news. We don't expect any specific reserve requirement going forward this year either, of course. So let's focus in -- for this discussion on the generic reserves. Then, we have about a coverage of 130 basis points. But we don't really expect that coverage to drop significantly. And so -- but we also do not expect that ratio to increase either. So for modeling purposes, I guess you should stay with the similar coverage ratio that we have right now.
Christopher Delgado - JP Morgan Chase & Co, Research Division: Okay, great. And then just also one other point kind of going back to margins. I know you guys mentioned that you kind of expect it to stabilize, given that you don't plan on doing anymore debt issuances. But where do you kind of see it standing at year-end 2013, just given your kind of loan growth and whatnot?
Christopher Schech: Well I think Tito had a similar question. We do expect the net margin expansion towards the 2% level. And that will be certainly a function of us not making major attempts to bring more medium- to long-term funding on our balance sheet because we have plenty. We will be using that, of course. And so we will deploy, as Rubens mentioned, in an environment that is increasingly benign for medium-term exposures. We intend to deploy that funding in those tenors and get a better return, of course. And so we do believe that our target needs to be the 2% level, in terms of NIM.
Operator: [Operator Instructions] Our next question comes from William Jones from Singular Research.
William R. Jones - Singular Research: And I think most of my questions have been answered. But you mentioned you expect net interest income margin to improve. You gave some good guidance on return on equity. We're at 11.6% this year, and you're looking to move towards mid-teens ROE and the leverage ratio about -- targeting 15%. So I guess in terms of -- that's a Tier 1 capital ratio near 15%. So will we expect the leverage ratio to trend then towards 10%, I would imagine?
Christopher Schech: The leverage should approach 10x but not more than that. I think based on our calculations, we're looking at something between 9x and 9.5x. That would get us to a range of 15% Tier 1, a risk-weighted asset base of $6.5 billion -- $5.5 billion, which is $1 billion more than we have now, in answering Michael's previous questions, which I didn't get entirely. So I think -- I hope I answered his question as well. And so that -- those are sort of the numbers that we're looking at.
Operator: Our next question comes from Michael Bunyaner [ph] TLS Capital.
Unknown Analyst: I apologize if you've answered that question because I got on your call just a little bit late. But in terms of the Asset Management business, you've announced that you are selling it. Have you discussed what type of price you may have already negotiated it? And/or how much in excess capital will this produce for you?
Christopher Schech: Thank you, Michael. This is again Christopher. Since we're not selling tangible assets to speak of when discussing the Asset Management Unit, you shouldn't be -- you shouldn't expect a rich purchase price with -- being a modest one. The focus is really on the profit share going forward, where we're doing -- we expect to be able to participate on what we believe is a great future for this team. And so you should not expect a onetime gain pop as a result of the sale but not a loss either. So -- and in regards to the capital release that would be a result of it, from an economic capital standpoint, we have allocated to an average and maybe let's say $120 million, we have allocated somewhere about $30 million to $35 million in terms of economic capital. So the release that we're looking at is not that significant. And so that is not really part of our considerations in terms of why we would like to divest this business. It had much more to do with the volatility of earnings, coming -- even though earnings, as we discussed earlier, were quite good. But they were just not stable enough for us to really be able to build on. And so...
Rubens V. Amaral: Yes. And I think just complementing what Christopher said, naturally, we'll be able to provide you with further details very soon, we hope, because we're just finalizing documentation and getting all the regulatory approvals, as we mentioned. Then we expect to have information very soon. And you see that we're going to be also reducing our investment in the fund, which will provide also a reduction in our exposure to market risk, which are then the days what we're expecting, having someone that teams up with us and helps develop the fee income that we couldn't and also reducing the exposure to market risk within the organization. But the capital will be released. And if your concern is about the Tier 1 and how that would impact our capacity of leverage the Bank, of course, we are counting on that capital to be used to leverage the Bank and getting to the target of 15%, as we mentioned before.
Unknown Analyst: Rubens, just to clarify, you will both reduce your total asset commitment to this business but you will retain a significant enough percentage of profit share on an ongoing basis. Is that correct?
Christopher Schech: That's the idea, yes.
Unknown Analyst: Terrific. And one other follow-up. Chris, did I hear you correctly that the risk-weighted assets, which were at year end $4.6 billion with a 15% Tier 1 will be $5.5 billion. Is that correct?
Christopher Schech: We're thereabouts, yes. We did a quick calculation. And I don't -- I will not vouch for the 100% accuracy, but it should be in the ballpark.
Unknown Analyst: That's close enough. And it wasn't clear when I was listening, did you say that your return on average equity over time, the goal is 18% or 15%?
Rubens V. Amaral: Our target is mid-teens, 15% return on equity. And as I mentioned before, it's our objective to achieve that level in a couple of years.
Unknown Analyst: And one last one, just dividend payout ratio. Have you decided what you would like that ratio to be?
Rubens V. Amaral: We -- the board -- the policy of the board is to pay dividends and increasing dividends. As we had mentioned before in previous calls when asked the same question is that we look to something that is between 40% to 50% of the total core income of the Bank, but we prefer not to provide a specific guidance in that. But to tell you, it's going to be always in that range. And as the business of the Bank grows definitely -- and the results come, definitely the board will continue to increase the dividend, as the board has been doing the last years.
Operator: [Operator Instructions] Our next question is a follow-up from Michael Holme from CQS.
Michael Holme: Just a question on Peru. I know that your lending there has gone up very significantly, probably about 100%, say, over the last year. I'm just kind of curious if you can give us some color on what kind of companies are you lending to there. Is that mining related or not?
Rubens V. Amaral: Okay, Michael. We -- mining is not one of the sectors we are heavily involved, although we have some exposure to the mining sector there. We're looking also at the fish industry that has improved quite a bit in Peru. But manufacturing, it's an important part of what we do in Peru and the banking sector as well.
Operator: [Operator Instructions] Our next question comes from Gary Lenhoff from Great Lakes Advisors.
Gary Lenhoff - Great Lakes Advisors, LLC: Actually, I did have one question I neglected to ask related. It looks like your lending activities in Mexico increased rather dramatically Q4 over Q3. Can you just provide us some color there as well?
Rubens V. Amaral: Yes. As you have seen, and thanks for the question, Mexico has been improving quite a bit, much more competitive than it used to be in the past. We have diversified also their partners, although still very dependent on the U.S. But U.S. is showing signs of recuperation. That definitely helps Mexico. And we have a new team in Mexico. We finished setting up our team in late -- the third quarter. So we could benefit of our new team capacity in the fourth quarter. So we're anticipating more growth coming from Mexico in this year as the Mexican economy is doing very well and tremendous flows of investments going to Mexico with the new government that is committed to more integration. I have been to Mexico 2 times. And the news that I got from the old -- the government that left and the government that came is that they are totally committed to regional integration. They want to be more involved in Latin America, and this is all good signs for us. The transaction that we just did, the syndication, was from a Mexican company buying a Colombian company. So definitely, Peru, as we mentioned in our question before, and Mexico are countries where we have important priorities to grow this year.
Gary Lenhoff - Great Lakes Advisors, LLC: And just related to that, I don't recall a time in the recent past where your total Commercial portfolio exposure to Argentina was as small as at year end. Is that just an issue of timing? Or are you also taking a bit more cautious view towards that country?
Rubens V. Amaral: Well, Argentina is an important country in the region. And you know that we look carefully as we can grow our portfolio. We tend to focus on the short term of the curve in Argentina and doing trade finance. And these, the main traders of -- the soya, beans for instance, they are clients. And the activity, as you saw, really was reduced quite a bit in Argentina. We had a lot of lettuce credit business there that was just paid, and they didn't materialize again. So that one was one of the main reasons for this reduction. But we remain confident that this -- the sector, exporters in Argentina is a very strong one. And you might see resumption of growth in that segment, but always we'll be very careful by -- with the growth in the country as we continue to focus and follow up carefully what's going on in the economy. But economy grew last year. It's supposed to grow this year. And the government has the means to serve their debt. So you might see a little more activity there but focused on the short-term trade finance.
Operator: [Operator Instructions] And everyone, there are no further questions in the queue. I would like to turn the call back over to Mr. Amaral.
Rubens V. Amaral: Thank you very much, Geoffrey. Thank you, all, for attending our call today. It's a pleasure to be talking to you from our newly headquarters. And I hope that we have answered all your questions and we remain totally open to continue to talk to you on a frequent basis. I know that Christopher has been always talking to you. And we are very happy that we have been able to deliver on a few promises we have made before. The first one, to find a solution for the asset management, which we did. Second one, to get to a sustainable double-digit ROE that we did. Third one, to continue to improve the credit quality of our portfolio, which we did. To improve the fee income, which we are in the process of doing, and I think we have demonstrated to you that we have the capacity of doing. And definitely, to improve the efficiency of the Bank, which we're doing as well. And least -- last but not least, to provide you with superior returns and an adequate dividend recognition to our shareholders, which we will continue to do. So thank you very much, and I'm looking forward to talking to you next quarter. Have a great day.